Operator: Good day, everyone and welcome to ViaSat Fiscal Year 2009 Third Quarter Earnings Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Mr. Mark Dankberg, Chairman and CEO. Please go ahead, sir.
Mark Dankberg: Okay, thanks. Good afternoon, everyone and welcome to our ViaSat's earnings conference call for our third quarter fiscal year 2009. And I am Mark Dankberg, Chairman and CEO and I have got with me Rick Baldridge, our President and Chief Operating Officer; Ron Wangerin our Vice President and Chief Financial Officer, and Keven Lippert, our General Counsel. Before we start, Keven will provide our Safe Harbor disclosure.
Keven Lippert: Before we get started I want to acknowledge that be aware that our 8-K was released during market hours today. Now getting back to the Safe Harbor, I would like to remind you that discussion today, we will contain forward-looking statements. we would like to caution you that actual results may differ materially from those projected in these statements. Risk factors that could cause actual results to differ are discussed in our SEC filings including our most recent reports on Form 10-K and Form 10-Q. Copies are available from the SEC or from our website. That said let me turn it back over to, Mark.
Mark Dankberg: Okay thanks Keven. So there are slides that are available over the web and we will start with our fiscal year '09 third quarter and year-to-date financial results, give the business overview perspective and some business highlights and discussions. After that Ron Wangerin will discuss our financial results in more detail. And finally I will update our outlook for this fiscal year and next fiscal year and with some other things and then we will take questions. So overall we are really pretty happy with our financial situation in the context of the overall macro economic environment. Earnings and cash generation for the quarter and year-to-date have been inconsistent with our plans. New orders were exceptional in our first half and that combined with us being little more cautious on spending and careful with our contract backlog management lending confidence to our outlook for continued revenue and earnings growth this year and next. And we are very pleased to be able to say that our earnings outlook for this year and next year is unchanged from last quarter. Our third quarter results fed kind of right into that picture. GAAP diluted earnings per share increased from $0.32 to $0.34 year-over-year and non-GAAP diluted earnings per share grew from $0.40 to $0.43. It has been well anticipated primarily due to the restoral of R&D tax credit. Our tax rate for the quarter had about 8% as much lower than the same period last year when it was actually higher than normal 30%. So, we were able to achieve our earnings objective on revenue that was actually about 1% lower than last year. New orders for the quarter were pretty good and actually skewed significantly towards commercial our government contracts took something of a breather after two consecutive outstanding quarters. Our contact backlog remains pretty strong. This third quarter year-to-date chart is also consistent with this. As anticipated the year-to-date effective tax rate is about 15.5% versus last year is higher than normal 29%. And that contributes to GAAP earnings per share rising from $0.71 to $0.82 on a year-over-year basis and non-GAAP dilutive earnings per share are growing from $0.96 up to $1.11. Those are increases of 15% and 16% respectively on a year-over-year basis. Revenues year-to-date are up about 8% from $427 million to $452 million. But again we are talking about very strong new orders activity in the first half year-to-date quarters are up over 30% compared to last year, at $604.5 million versus $461.5 million. Defense orders especially can be quite lumpy. Let's take a quick overview and those top level third quarter financial results in some context. From a top level perspective, we are managing pretty consistently with the way we usually do. We are aiming to achieve steady earnings growth in the present while investing to the extent we can in our future. The fluctuations in our tax are certainly factoring there. We consider ourselves fortunate because we have a number of promising business areas worth investing in. The time horizons for these areas for realizing benefits in these areas really vary the cost of different area. And while some of these markets maybe impacted in the near term by the economic climate as we have said before some of our government businesses conservatively benefit from a renewed DOD maples focus on cost containment. For the areas listed in this chart, are consistent with where we have been focusing for the last year or so. And we will discuss each of them in more detail later in the call, without having to itemize them right here on this page. Now I will switch to looking at our government business. While our government business continues to read our overall financial performance and our outlook remains good in each of these business areas. The MIDS JTRS or joint tactical radio system program has continued to show good progress with completion of the second phase of security verification testing. And the navy has also conducted initial high qualification testing. We believe we are making progress in gaining the attention of a number of new platforms and programs that need advance multi-channel, joint tactical radio system capable radios, and that would go beyond those current reserve by our MIDS LVT units. The underlying dynamics there, are the program schedules for radios or radio upgrades on these new platforms relative to the current outlook for radio availability from the other JTRS development programs. So there are projects in play to considerably expand our JTRS market. We anticipate in a word of initial MIDS JTRS low rate initial production or LRIP quantities to be sometime this summer. And that would follow on go on to the production trend. This in turn will produce, we have already seen this fiscal year. And it's consistent with our view as MIDS J transitioning into volume production as a successor to the MIDS LVT or low volume terminal program. And meanwhile, the international orders for MIDS LVT remain solid as those users deployments are scheduled to catch up to the deployments on US forces. Sales of our legacy unmanned aerial vehicle or UAV data link products continues to be good. Well we seem to be consistently winning positions on the Tier-2 over tactical UAV class of vehicles. We anticipate these design wins will provide very good year-over-year growth in that space for several years. We are almost done with the most current version of the government High Assurance Internet Protocol Encryption Standard or HAIPE secured networking standard for our KG-255 Inline network encryptors. That creates additional space between the leaders in this area and the rest of that market. We are still seeing opportunities for embedment of our core security modules and other radios and communication systems. Government satellite communication systems awards have been particularly strong this year. And we anticipate that continuing for the foreseeable future as the government takes advantage of existing commercial transponder leases. The new capacity on the wide band global satellite system and the upcoming launch of the next generation version of the UHF frequency band satellite or the Mobile User Objective System. MUOS is currently scheduled for launch next year in 2010. In general, the deployment of new DOD satellites, both wide band global satellite and MUOS creates a positive environment for our ground terminals. Subsequent to the end of the quarter, we received an order for an initial quantity of 45 low rate initial production transceivers for the Blue Force Tracking 2 situational awareness program. These terminals are to be used for field trials currently scheduled for this fall. And that was basically the event that we have been expecting as the next step towards transitioning into volume production and it represents most of what we have been planning for fiscal year '09 as well as the next fiscal year. The army has been planning to tie production of our Blue Force Tracking 2 terminals into deployment of the next generation, what’s called FBCB2, battle management software system. Now considering options to introduce the benefits of Blue Force Tracking 2 including its security capabilities more quickly. We have also received additional words for our ArcLight product which is currently being off-setted on tactful military ISR intelligence surveillance and reconnaissance platforms. And we are getting a lot of interest from new platforms there. ArcLight is our broadband mobile Ku-band networking product. And integration into these ISR platforms is something that we have been working towards for quite a lot. And it could lead to significant growth opportunities. Our base of commercial aviation and maritime capability and coverage has been a big help and showing government customers that this is a mature off the shelve capability that can be deployed. Just looking to our commercial business, overall there is really no major issues in our commercial business, which is probably not such a bad thing and have all things considered. Consumer broadband in the US is pretty stable in terms of gross subscriber additions, which ultimately is what drives our unit shipments, while Blue are down in US customer have been adding incrementally to capacity in high demand market areas. It is also been filling orders there. So, capacity limitations remain a factor in overall subscriber growth. They have been promoting their service more in geographic areas that have lower demand to stimulate the demand in those areas. Overall, as we have been expecting unit shipments lower than last year and that reflects the capacity limitations as well as a desire on [WildBlue’s] part to continue to push down the inventory in the distribution pipeline. We are continuing also to work with [Eurocap] on the interim two-way branded service in Europe paving the way for next year’s Ka-band launch. Planning for the Canadian portion of ViaSat-1 is also becoming more active and there are a number of opportunities to work with planned new Ka-band to another parts of the world. Also we are certainly aware of the new administration interests in investing in and stimulating the broadband access market in the United States. We have been active in communicating our views. We have been encouraged in that people inside the government as well as in the non-governmental public interest research groups seem to appreciate the difference in our approach to bandwidth provisioning and service quality compared to existing broadband satellites. We believe there are very compelling reasons to include very high performance satellite services as a component of an overall national broadband policy and we are hopeful that both legislation and implementation language will reflect that. In either way we don’t really anticipate any significant address impact on the market that we have aiming out with ViaSat-1. The KU Mobile broadband area continues to expand in terms of geographic coverage and total number of platforms served. Our maritime efforts working with KVH are growing pretty nicely. We are also adding new channel partners to help reach other maritime customers. The overall business cap market is very tough and so we are adjusting our outlook for service revenue there downward a little bit and we are not really anticipating any near-term growth in unit shipments through business steps. We are although there are good long-term signs for the Ku-band and global mobile broadband market. Our Antenna Systems business continues to perform within the plans. And the conventional VSAT business is challenging on an industry-wide basis, but we remain optimistic that we will see significant competitive advantage beginning next year, working with (inaudible) on KA 5. In the mean time we received a new contract for a large international VSAT network near the end of the December quarter. This customer has executed its financing agreement and expects to initiate work on the project this quarter depending completion of some additional supporting documentation. We will provide more information in the next few weeks or so, as we can on that project. Talking about our Accelenet, Wide Area Networking acceleration software business for about a year now. And so far this remains a lot more like potential energy than kinetic energy. While revenues are slowly increasing which saying something in this market for IT capital spending actually. We have invested more this year than we anticipated. But based on market reception and our good OEM relationship with Cisco as well as Cisco's progress in the market, we are maintaining our efforts to the extent we can while meeting our overall financial objectives. Lets take a quick update on Ka-band ViaSat-1 project and we consider the macro environment for our Ka-band project to be steadily becoming more favorable in the year's since we started. We think there is in general a greater appreciation in the market for the cost and technical difficulties that wireless or other terrestrial technologies would face in bringing the level of service that we are targeting to the specific geographic markets we are aiming at. It certainly seems that the expectations around WiMAX they are subsiding and that there is greater recognition that WiMAX is more evolutionary than revolutionary. It also seems clear that demand in the US is quite high in the geographic areas addressed by ViaSat-1 and the associated value of having new capacity there in 2011. And we actually believe the range of potential partnership and financing option is becoming broader and not narrower. We continue to make steady progress on managing the satellite and its launch within budget non-schedule. We completed the satellite critical design review. International interest in Ka-band broadband and our budget remains quite high. We have also been doing more work with the government on potential applications for our own defense applications. For working more closely with Loral and Telesat on their Canadian Sat-1 capacity. We should be beginning work on the ground segment for that and not to distant future. It appears that financing opportunities for us somewhat better now than they were about even a quarter ago. While we continue to make capital investments in the satellite, we extended our short-term credit facilities last quarter which we believe is adequate (inaudible). We continue to explorer a number of avenues for partnerships and additional financing approaches. As we have consistently stated from start of the project we believe that our ability to finance the project on our own is an important component is ultimately reaching any potential or eventual partnership outcome. The list of factors we are considering in working through financing is pretty consistent with what it was last quarter. I am not go though those by points, but as we have mentioned we foresee that several of those factors are trending somewhat more favorably. So, that’s kind of our business overview. At this point I would like to introduce Ron Wangerin, our CFO who will discuss the financial data in more detail.
Ron Wangerin: Thanks Mark. We will start with the P&L and segment results and cover the balance sheet and cash flows. Revenues were $150.4 million a slight decrease over the third quarter of last year with just specific revenue changes later in the segment results. Our cost of revenue percentage increased reflects two things. In the third quarter of last year we had some high margin sales that contributed to a higher gross margin. And secondly in the third quarter of this year we get a higher proportion of funded development projects which were at lower gross margins. Selling, general and administrative expenses were higher year-over-year mostly due to higher selling and new business proposal cost for a record year-to-date awards, support cost from increased business activity as well as legal and other cost associated with our Ka-band satellite initiatives. Research and development expenses were down 17% in the third quarter, year-over-year, principally due to the shift and some of our development efforts going from internal development projects to customer funded development. However, we continue to invest in next generation tactical data links, information assurance, unmanned area of vehicles and broadband technologies. Quarterly amortization of intangibles was slightly lower for the third quarter year-over-year due to the completed amortization of certain intangibles. Income from operations for the third quarter of fiscal year 2009 includes non-cash stock-based compensation expenses of $2.5 million versus $1.9 million for the third quarter of last fiscal year. Other income decreased due to lower interest income earned from lower invested cash balances and significantly lower interest rates year-over-year. Our income tax provision for the third quarter reflects a quarterly rate of about 8% versus 30% in the third quarter of last year. The quarterly rate is lower than the estimated annual effective income tax rate, primarily due to the expiration of the statutory limitations for previously filed tax returns resulting in the recognition of previously unrecognized tax benefits and the benefits from settlement of prior year taxes of approximately $1.8 million. We now expect our annual effective rate to be approximately 19% this year. Minority interest decreased to lower operating results in the quarter of majority owned TrellisWare subsidiary versus the same quarter last year. We will address the difference between GAAP and non-GAAP earnings per share on a few slides. And looking at our year-to-date results, year-to-date revenues continued on record pace at $42.6 million, an 8% increase over the same nine months of last year. The slight cost of revenue percentage reduction reflects improved margin performance, particularly in our government products area offset by lower margins on some funded broadband development programs. SG&A expenses are significantly higher year-over-year, mostly due to higher selling and new business proposal cost from a record year-to-date awards, support cost from increased business activity as well as legal and other cost associated with their Ka-band satellite initiatives. Research and Development expenses are down slightly year-over-year, year-to-date and reflects a high-level of R&D in the first quarter offset by reductions in the second and third quarters due to a shift to some of our development efforts going from internal development projects the customer-funded development. Year-to-date amortization of intangibles was slightly lower due to the completed amortization of certain intangibles, partially offset by the amortization of new intangibles from our JAST acquisition in the second quarter last year. Income from operations for the first nine months of fiscal year 2009, includes non-cash stock-based compensation expenses were $7.6 million and it was $5.6 million for the same period in fiscal year 2008. Other income decreased due to lower interest income earned from lower invested cash balances and significantly lower interest rate year-over-year. Following the expansion of the federal R&D credit from January 1, 2008 to December 31, 2009, our income provision for the first nine months of fiscal year 2009 reflects an estimated effective rate of about 19%. The effective expansion of the R&D tax credit in our fiscal second quarter of this year and the exploration of the of the statute of limitations is previously filed tax resulting in a recognition of previously unrecognized tax benefits and a benefit from the settlement of prior year taxes of approximately $1.8 million in our fiscal third quarter. Minority interest decreased to the lower operating results of our majority owned subsidiary TrellisWare versus the first nine months of last year. Looking at our segments, in the Government Systems segments revenue for the third quarter was $93.8 million, a 10% increase over the same period last year. Year-to-date for the first nine months revenues were $279.7 million, a 19% increase over last year. Increase for the quarter and year-to-date is primarily related to increases sales of next-generation information assurance product, higher information assurance development and next-generation military SATCOM systems revenues, partially offset by lower sales of our majority owned subsidiary TrellisWare. In the Commercial Network segment, revenues for the third quarter were $54.2 million, a 17% decrease over the same period last year. The year-over-year quarterly decrease is primarily related to lower consumer broadband sales as our primary customer WildBlue managers' expenses. We do not believe this is sustainable on should improve. This decrease was partially offset by increases in the mobile satellite system sales. Year-to-date for the Commercial Network segments, revenues were $176.4 million, a 5.5% decrease over the same period last year. The change primarily reflects, lower consumer broadband sales offset by higher mobile satellite systems revenues. For satellite services for the third quarter and year-to-date, sales were slightly higher from the same period of last year. In the third quarter, Government Systems segment posted operating earnings of $14.3 million, a decrease of 9% from the prior year, primarily due to mix of higher margin sales in the third quarter of last fiscal year when compared to this fiscal year. Year-to-date Government segment operating earnings were $39.6 million, an 18% increase over the same period last year. The year-over-year operating earnings increase was principally due to higher revenues and the associated margin, offset partially by higher selling in new business investment costs and higher R&D investments of next-generation Tactical data link information assurance and UAV products. Commercial network segment operating profit declined in the third quarter and year-to-date, year-over-year. Although we experienced improved performance in our Mobile satellite and Antenna Systems areas, these were offset by reduced earnings from our consumer broadband products, investments in our AcceleNet product and new business investment cost. The satellite services for the third quarter, the operating loss was slightly lower. For year-to-date, the operating loss was higher year-over-year, primarily due to legal and other cost associated with our ViaSat-1 satellite. For the third quarter of fiscal year 2009, operating earnings amounts include non-cash share-based compensation expense charges of approximately $2.5 million and were $1.9 million in the third quarter of 2008. year-to-date through the third quarter of fiscal year 2009, operating amounts include non-cash share-based compensation expense charges of approximately $7.6 million and were $5.6 million for the same period in last fiscal year. As we look at the GAAP and non-GAAP EPS difference, non-GAAP results exclude the effects of acquisition-related intangibles, and the effect of non-cash share-based compensation expenses net of tax. The change is year-over-year, primarily related to higher net and pro forma income. Lower diluted common equivalent shares, year-over-year are primarily due to the treasury stock effects from lower average share prices. Turning to the balance sheet, overall we continue to have a strong balance sheet. Cash and short-term investments decreased by about $61.5 million from the beginning of the year due to investments in our ViaSat-1 satellite project. We will talk about the movement of the cash later when we review cash flows. Billed account receivables decreased on improved collection activities. Unbilled accounts receivable increased due to the timing of certain contract milestones, primarily with our mobile satellite and broadband system contracts. Inventory was up by about $2 million in the beginning of the fiscal year primarily due to the transition of some products to units to delivery basis of accounting. Prepaid and other current assets are higher primarily due to an income tax receivable and an increase in prepaid rent due to the timing of the fiscal quarter end. Goodwill and intangibles decreased due to a regular quarterly amortization. We are about one year into the construction of our ViaSat-1 satellite. And to-date, we have capitalized approximately $85 million through the third quarter, primarily related to progress payments for the satellite in the launch vehicle. Net property and equipment is up about $4 million since the beginning of the year, and reflects normal capital projects to support our business growth, primarily lab and production test equipment and facility expansion. Year-to-date, we have increased our investment in the satellite by over $77 million. The change in other long-term assets is primarily due to increases in deferred income taxes offset by amortization in capitalized software. As we look at liabilities and equity, accounts payable increased slightly and is associated with inventory purchases from our supplier and capital equipment growth. Days payable balances remain below our historical averages. The biggest change in liabilities was advances, which were down mostly in our Commercial segment, reflecting in timing of receipts and contract milestones, primarily on mobile satellite and antenna systems programs. The change in other current liabilities primarily relates the payment of the secured borrowing in the first quarter of about $5 million associated with an enterprise VSAT program, offset by changes in warranty and employee-related accruals. The increase in other long-term liabilities was primarily related to an increase in long-term deferred rent. Regarding the minority interest change in the first quarter our majority owned subsidiary sold stock to existing stockholders. We also invested in the transaction to maintain our equity percentage. The result was an increase in minority interest of $1.5 million. At the end of the quarter, we continue to have no outstanding borrowings leaving our full and accretive variables less standby letters of credit. Including the effect of standby letters of credit, we currently have about $79 million available under this line to support our business growth. As we look at cash flows, for the quarter and year-to-date, we had good net income and non-cash add back, which was offset partially by changes in working capital. The result with cash generated from operations of approximately $30 million for the quarter and $31 million year-to-date. Cash flows related to investing activities for the quarter and year-to-date reflects capital expenditures for our satellite project, business expansion activities and capital expenditures for licenses and patents related to our satellite project, and a payment related to our JAST acquisition. Cash provided by financing activities year-to-date is primarily from stock issuance by majority owned subsidiary and the net proceeds from common stock issuance offset by payments on the secured borrowings. Our forecast for generating cash from operations is consistent with our previous estimates and our outlook at the time we announced our ViaSat-1 project. We recognized our use of cash over the past several quarters related to ViaSat-1 has increased substantially. We believe our cash on hand and cash we expect to generate from operations will be sufficient to meet our needs and have our line of credit available should we need to access it. There continues to be multiple options with regard to financing the balance of our satellite project. To task we have most control over this time as a self funding options. Accordingly we will be working with our financial advisors and bank group to increase our available credit. We believe our financial strengths a low projected debt to EBITDA leverage and the valuable satellite asset will enable us to secure the remaining capital necessary to complete the ViaSat-1 satellites if we have to go down that path. Now I would like to turn it back to Mark to talk about our outlook.
Mark Dankberg: Okay thanks Ron. As I mentioned before our outlook for this year as a whole remains consistent with our estimates last couple of quarters. We are still aiming at the same range of GAAP and non-GAAP earnings per share which is shown in the slide in fact the 155 to 160 range for non-GAAP and 117 to 122 for GAAP. We are still looking at about a 10 percentish year-over-year growth right now for our fiscal year 2010 which begins this coming April. Overall we think that’s a pretty good rate of growth right now specially in this environment. Our recent robust order activity as well as the breadth in diversity of potential new business opportunities are the main factors behind our current thinking. As usual new orders for us can be quite lumpy. As we work towards all the additional orders we will need to achieve those results. So then I will summarize on the last page here, by saying that we feel pretty fortunate at this point to be pretty much on the same earnings growth path that we were aiming at a year ago. Plus the strength of our new contract awards so far year-to-date lends confidence to maintaining that growth focus. We are enthusiastic long term about our mix of technologies and market applications. We are seeing some favorable signs in the market. That's a poor transitions from some of our current generation product into their next generation versions, that will help sustain our growth in the long-term. Well we still have a lot work to do on our Ka-band satellite project we are more than a year into it and are seeing things in the broadband market. We pulled so far pretty much in the way we have anticipated. The severity of credit crunch in general was worse than expected but indication seems that adequate financing is available on reasonable terms in our particular case. Overall, we feel that our core businesses are strong and provide good enduring opportunities for continued growth. So, that pretty much concludes prepared part of our presentation. At this point we would like to open it up for questions.
Operator: (Operator Instructions) We will have our first question from Rich Valera with Needham & Company.
Rich Valera: Thank you. Good afternoon, gentlemen. I was wondering if you could talk about MIDS and MIDS J combined and how do you think that they will trend to the fiscal '09 to 2010 and maybe even fiscal 2011, do you see that the combination of those two growing over that period of time?
Mark Dankberg: That's a good question. That's sort of what the plan has been and we have got more visibility into it now. And there is two different parts, one is the revenue part and other is the orders part and I will say this year. This year '09 to 2010 our next fiscal year we are probably going to see revenues pretty flat but what we are expecting particular things I talked about international the LRIP program that we see a pretty nice step up in orders in fiscal year 2010 compared to 2009. So that really sets the stage for growth in 2011. What we have really been sort of aiming for it, just to be able to layer an emerging MIDS JTRS program on top of sort of costing MIDS LVT program and that pretty much looks to be shaping up to be the case.
Rich Valera: Okay that's helpful and with Eutelsat can you talk about the trajectory of your revenue with them specifically that I guess initially the gateway revenue how you expect that to roll out over the next sort of couple, several quarters I guess?
Mark Dankberg: The contract that we have announced so far is $1 million order for network infrastructure and that, do you think of that as really being deployed right up to around up by little in advance of their satellite launch. Which they are still proceeding as at the beginning of the second half of 2010. So that gives us 5 to 6 more quarters for recognizing bulk of that revenue.
Rich Valera: And when do you think, you think it will be fairly linear or is there going to be a certain sort of contour to that?
Mark Dankberg: I think that there is two components of it and one is some of the up front engineering work and that we just finished our those guys and so it should be ramping, it won't be flat.
Rich Valera: Okay.
Mark Dankberg: Lot of the material in that coming towards the end of the period, but certainly growth in fiscal year 2010 which has mostly countered 2009 for '08 and heavier reports of that came to that fiscal year. And then also there are potentially other components that we see revenue on that are related to that network that are not encompassed in the contract that we have gone so far. You might start seeing to occur probably early next fiscal year.
Rich Valera: Okay. That's helpful. And I am guessing if you had something to say you would have said it here. But I have to ask anyway. With respect to potential distribution partners for your ViaSat-1 venture, any color at all you could add there on your discussions?
Mark Dankberg: The main one is that it just the same thing that we have been talking about which is that there are existing distribution channels. Those channels sort of like branding and selling the service it compliments their existing businesses and it's I would say as time has elapsed. It becoming more clear to them that really the only way to continue to sell that type of product little only the better product is by somehow taking advantage of our satellite. And I would say it's not anything dramatic, its just sense of awareness and sort of, let's start figuring out how to deal with this, kind of attitude. That's the way I describe it and I think that sort of what we would expect. I think that due to what happened when WildBlue started its service, I mean one of the biggest things, get the satellite up in the air show that the stuff works and then now lets now its time some deal. I think that in our case, it might be a little bit accelerated but certainly there is a component, let's get through all the rest of the stuff and then yes there is a demand in the marketplace, this is a way to fulfill.
Rich Valera: Okay. Then on the financing front, it sounds like you guys are getting pretty good feedback from perspective lenders with respect to the self financing option. But do you have sort of contingency plan if it turns out that when it comes time to draw down financing its not as available as you would have thought. Do you have inability to sort of throttle back your expenditures to give yourselves more. You know self funded runway if you will in a tougher environment.
Mark Dankberg: Yeah, so those are couple good points, one is, we have put a list of factors there that sort of give us some maneuvering room the event that we need to renew. So we are always trying to maintain that, but then the other factor is putting place to cut in and it works I mean we have tested it, and we can use it, and so that gives us confidence in being able to expand the trajectory that we are on as well.
Rich Valera: And is that about $80 million available still on that credit line?
Mark Dankberg: Yes.
Rich Valera: Great, one final one for me, if I could, just the non-GAAP tax rate that you are expecting for the fourth quarter, is that similar to your full year tax rate?
Mark Dankberg: Yeah, it will be a little bit higher, the probably be in the mid 20s.
Rich Valera: Okay. That’s helpful. Okay, thanks for taking my question.
Mark Dankberg: Thank you, Rich.
Operator: Our next question comes from Myles Walton with Oppenheimer.
Myles Walton: Thanks, good evening guys.
Mark Dankberg: Hey Myles.
Myles Walton: To follow up on the tax while we are still on topic, 2010 what is the implied tax rate in the guidance right now?
Ron Wangerin: About 29%.
Myles Walton: Okay. And Mark, you mentioned that fiscal 2010, I am wondering if you can provide any color on the growth between the two businesses going commercial? Is it fairly balanced and any particular color you can provide within the segment it would be great?
Ron Wangerin: Sure, This is Ron. For our government segment next year, we are expecting growth of about 8% year-over-year, mainly coming from the information assurance and satellite communications product revenue side. And on the commercial side, we are expecting revenue growth of about 15%, mostly from our mobile broadband and enterprise VSAT products and services. I think growth from (inaudible) as well.
Myles Walton: Okay. And this order you mentioned in the press release for (inaudible) large international VSAT award in the quarter, was that really driving the book-to-bill in the quarter or was the book-to-bill more reflective of broader orders?
Ron Wangerin: That was a big contributor to our total orders, an important contributors to the total orders.
Myles Walton: Okay. Does that particular order materially improved the near-term profitability of that business?
Mark Dankberg: Yeah. Sure, it’s a big project and it will be helpful.
Ron Wangerin: It will be. We have restructured the business. We had actually combined our enterprise VSAT and our consumer broadband business from our engineering and further management standpoint. So, you are taking cost out, lower the cost so that we think we can profitable in there any way. But certainly a project of this size will help us.
Myles Walton: And with respect to the kind of next stages for Blue Force Tracking 2 and tying that into our PCV2 you mentioned that following quarters and smaller awards that we have been expecting. What's kind of the next step to look for in terms of adoption and kind of get a better feel as to whatever the next couple of years this can mean?
Mark Dankberg: So just to recap, we did had a contract and stimulating our contract for basically a prototype demonstration which went well. I think that we talked about the benefits of that and I mean the main benefits being able to provide more frequent updates having, we will provide information or update having more robust reliable permutations to the pipelines, add to the range of pipelines that can support it. So those are all good things. The theory [was due to prototype] shows the possible and then go into the lower rate initial production and showed by sort of produce more and tested on a broader scale. And then I think the next step has been to figure out how to get under production volume contract. And I would say that if anything, there is really two parts, beside the part that we are doing there is another part that comes in which is enhanced security module which adds Type 1 security to it. I think that right now the government is considering options that might actually accelerate that deployment and sort of we are waiting honestly what exactly that means from a procurement perspective. And I would say that will become, more clear probably towards the end of this calendar year.
Myles Walton: Okay. And then just one more quick one from me. Can you talk about your go-to-market strategy with ViaSat-1 in the military context? Obviously, the DoD are pretty healthy procure of commercial bandwidth and one of their larger contract vehicles is kind of going into RFT in 2009. Are you going to market through more typical channels like this particular contract vehicle or will it be I guess less structured than that?
Mark Dankberg: Yes, I think it’s going to be a little more creative I would say, if you look at the contract that now are really more oriented around buying sort of commodity [progress] that they can obtained from multiple sources. And so our strategy basically, I will give you a good example, as I mentioned one of the things we have done is Ku-band broadband on ISR platforms. And this is just one example there are others, but this is a really good one and one of the most important things for them is actually getting information off the platform, the rates on which they can transmit. If we take the capabilities of a satellite in our cars and the same would be true of [KSM] in Europe, and we are really looking this as we are selling a capability, there are applications in the US those could be DHS type for order patrol type applications different applications in Europe. We are trying to make the customers aware of is that when you have a satellite like ours which is very unique you can take capabilities that you are already using with us and get [terms of backup] 8 to 10 higher speed satellite platform which were very-very important to them and it can only be done with this type of satellite. And so what we are doing, we are going around in DoD and making sure people understand it. Here another value proposition is higher speeds and much lower costs for the same speeds. Obviously, for our own satellite in the US the purposes of that will be more for training, technology, capability and demonstration and aggression those and possibly some DHS applications, (dot com) applications. In Europe, or areas that are covered by Ka-Sat there would be lower probably operations and mission oriented. But that's sort of a way we are going about it does that help answer your question?
Myles Walton: Yeah, it does. Would you actually anticipate though prior to kind of launch or within the next 12 to 18 months to actually entering to formal arrangements or is this going to be more if you built it they will come.
Mark Dankberg: Actually I would say there will be sum of each. One of the things that we are aiming to do is point out what would be needed for a ground equipment to take advantage of the satellite capabilities both in the US and Europe. And I think what we will see is that, if customers who are really interested in that will probably get started on the concurrent ground stuff in advance, so that it’s ready when (inaudible). And we don’t have that lined up yet but that’s sort of what we are aiming for and it seems reasonable. And then that would pave the way for these services. And some of the things that we will do would probably not happen more until it's in service or the reach in service.
Myles Walton: That's helpful, thanks a lot.
Mark Dankberg: Okay, thank you.
Operator: We will go next to Steve Ferranti with Stevens, Inc.
Steve Ferranti: Hi guys, good afternoon. Just following up on the Blue Force Tracking question. Are there any insight that you can provide in terms of what you guys are hearing in terms of the army’s plans for rolling out the new systems when that actually begins and will it be a retrofit of existing units or will these be deployed sort of in parallel of the existing solution. Is there any insight that you can give us there?
Mark Dankberg: There is some space news and defense news articles that talked about sort of a government reaction to the capabilities, but they were very positive about them. One thing they are looking for is to try to figure out how you can come into market as fast as possible. And that’s basically what we are seeing. Now, there is sort of contractual and procurement issues that go along with that, but that’s what I described in the general trend. I think that if you look at what would happen with our units should we continue to keep going the way that we are on the path that we were on. They almost certainly go into new deployment. I don’t think that they would be decommissioning existing BFB1 stuff because they are trying to get the capability in general on a broader range and platforms as appose to just nearly upgrading the coverage that they already have. Does that answer your question?
Steve Ferranti: It does. And would it be fair to assume the new solution then would work (inaudible) with the existing solution?
Mark Dankberg: No, I mean, the way to think about this is, there is kind of control hub that goes with this Anik satellite and each of the Flyaway terminals that are out there are pretty much connected to that hub, then you can take the data and its easy to consolidated from a battle management perspective, we can actually consolidate data across the two different, lets say BFT1 and BFT2. But you couldn’t take a BFT2 terminal and attach it to a hub that’s run by BFT1, it's just not possible, no matter who did it because in order to get the benefits they want they need different wave forms and maybe even different space segment assets, so what you are going to see is sort of a BST2 capability that goes along side into BST1.
Steve Ferranti: Yeah, that's actually very helpful. And then I guess just turning toward the fiscal '10 guidance again. Just trying to get the sense for how you balance some of the opportunities that you have, and I think you used the term, some of them had quite a bit of potential energy that you used the term in your prepared remarks. But, how do you sort look at these opportunities and sort of balance with the potential for these in the future and come up with some sort of mechanism for providing guidance?
Mark Dankberg: That's a really a good questions, that's the big trick in managing this business and now it has been for a long time. So what we do is, we have kind of a grassroots, bottoms of that estimates that we do every quarter. And into that every quarter, we tire to anticipate the likelihood of certain things happening, the timeframe in which they had happened and then we tend to roll them up, and we look at that multiple ways. And when you go though that process over the course of years and years, multiple quarters and you will see something sort of rise and fall depending on how we are doing on the programs or the timings of those programs. And that is the big balancing act that we always go through and trying to anticipate. One of the thing, and though I have put it is what you want is something that you have a lot of ability into in the next quarter, a pretty good visibility for the next, say year and then probably last in the out years as you get time. As you got time for things to settle and so the big thing for us over the next couple of quarters is the thing that helps us especially given all the uncertainty within the economic environment is our backlog in the fraction of sales. And come for backlog and that's actually, probably stronger than normal in the kind of the upcoming couple of quarters or so sort of normalize it as you go back go outin the second half of next year sort of more typical, did that helped you?
Steve Ferranti: Yes absolutely, that's very helpful. And then I guess related to backlog question. In commercial backlog seem to show some pretty good strength. In terms of your consumer broadband partners internationally, is there any sense that they may be slowing down deployments just in light of the current economic conditions, or are they sort of marching full steam ahead?
Keven Lippert: What I would say, I mean and this is sort of observation on our part is that, there is opposing forces in the broadband front. One is that clearly tough economic times made are going for tougher going for anything consumer-oriented. But on the other hand, there is so that you get so much of the economy everywhere is, becoming more online at that sort of an opposing force, which in the broadband world there is something let's say, in the broadband world, in economies where broadband means PCs and home, that's not what I'm talking about, places like Europe, Australia, Canada, and US. That those kinds of places, I'd say sort of compelling need to have broadband and the fact that penetration is still not as high in the universal I'd say television, pay-TV, or cell phones . That was sort of that force working for us. And so we don’t really see that backing off in the US and WildBlue situation is probably pretty good indicator of that. I think that penetration in the years, the penetrations are lot higher, it might be a little bit different, but right now there sort of that force that seem to be balancing factor. And also everywhere you go including in the US, everybody see broadband as product key enabler competitiveness on a national basis. So those are all I would say positive factors where we are right now.
Steve Ferranti: Right, that was going to be my last follow-up was sort of how much of a factor is government involvement in some of these broadband to the messes rollouts in the international market. I know Australia have been talking about, some activity along those lines, how much of this will be driven by government sponsorship?
Keven Lippert: I would say, I describe government's sponsorship as some case is more of a sweetener. So let say we are in Australia it maybe more of an enabler in the gating item, because its not so clear that somebody would the satellite over Australia for variety of reasons, absent some type government involvement. In Europe though, where there is really big population and there is already a pre-enterprise case with I would say government participation is more of a sweetener. It will help in distribution and it might speed up adoption. It certainly can help with financial returns. But I don’t think its gating item. But in general, I would say that especially in environment where unemployment, harder of that almost every government in western world that we see looks at something that we stimulate broadband adoption and availability, and some part of our mission and we have been working on this for over a year is to just help them understand exactly where the unserved and underserved people are, and why satellite makes sense of compliment of the strategy and that seems to be working.
Steve Ferranti: It's great. Very helpful, thanks for taking my question guys.
Keven Lippert: Thank you.
Operator: We'll have our next question from Chris Quilty with Raymond James.
Chris Quilty: Thanks gentlemen, I want to follow-up on the broadband opportunity. I guess you're projecting about 15% growth in the commercial business. If you excluded one large VSAT order, are your still expecting to see growth in the broadband business next year?
Keven Lippert: Yes.
Chris Quilty: Okay. And that's primarily from incremental sales into Eutelsat versus WildBlue?. Does WildBlue work off some inventories and you get some lift?
Ron Wangerin: Yes. I think that’s probably what we are talking that is, I would say it right now WildBlue's is probably unit take rate is lower than their gross ad rates. So, that’s part of why ultimately, you think that there would be some equalization, normalization there, and then we see growth in Europe and then also additional broadband infrastructure kind of projects and contracts as well.
Chris Quilty: Okay. And I know you are second order away from this, but with the current economic environment, is it your impression that WildBlue's up take rate has been impacted or not by consumer credit and spending?
Ron Wangerin: We're one step removed. We try to understand it and we talk to them a lot. And it seems like that , I would say that's not the dominant effect, I think the dominant effect on the their adoption rate from our perspective right now is really capacity.
Chris Quilty: Okay.
Ron Wangerin: And part of that is there is of natural demand in these high demand in these high demand areas which are the ones that they sold out quickly and that's actually where our satellite is aimed. And what happens is once you sort of run in for the limits there, you just have to work harder to generate the same numbers. I mean and it's classic any satellite you did, if you look in the kind of the world states. The penetration rate for our satellite broadband in most states was higher, substantially higher than it is in the more developed, in our more urbanized sates, but the absolutely numbers are lot lower, because the population tends be to skewed. That’s exactly the situation, so you just have to sort of work a little bit harder in the low demand areas than you would if you had more capacity in high-demand areas.
Chris Quilty: Okay. And you provided a CapEx spending number for next year on a ViaSat-1?
Ron Wangerin: No we didn’t.
Chris Quilty: Did you?
Ron Wangerin: I would, give me a chance. So this year through the third quarter we spent over $85 million, we expect to bet another $30 million, or so in our fiscal fourth quarter. And then next fiscal year, we expect the capital level outlays to be about $15 million or so lower than this fiscal year, so the first year was the heavier spend than the second year.
Chris Quilty: And is that natural progression, are you slowing production to preserve capital cash?
Ron Wangerin: That’s just based on the natural schedule right now.
Chris Quilty: Okay. And if we model in here, company borrowing what would you expect would be the borrowing rate in today’s current market environment? You were talking about increasing the size of the credit facility.
Ron Wangerin: Well, I think there is a lot of factors that go into it. There is and then there are these, what are called LIBOR floors that people are requiring an agreement and the different spreads depending upon your leverage and how much that leverage is. We think that you can increase the facility and execute properly maybe even lock it in through a swap arrangement in the 7.5% to 9% range depending upon how much you are looking at.
Mark Dankberg: Yeah, I think, one of the things we are trying to do Chris is to try to create as much room before we have to do anything. So we have options.
Chris Quilty: Okay a question you mentioned in your script, ARC LIBOR orders for ISR platforms were you referring to aviation or ground vehicles?
Mark Dankberg: Aviation
Chris Quilty: Okay and a question on the BFT there is a BFT program a pretty gap between yourself and your incumbent Comtech, they just last November got a army sources short notice looked to increase, it reads very much like their contract from $216 million up to $833 million. The language of the source selection states specifically that everything has got to be backward compatible with Comtech. So I'm just trying to understand what would be your response to in an environment where they are increasing spending for the legacy provider where they are going to find incremental money for BFT2 solution in what's increasingly a tightening budgeting environment?
Mark Dankberg: Yeah well there has been there is two if you go down just kind of general commanders like two different organizations there is one organization that operates and maintains BFT1. There is another organization that's working on the battle management program that has BFT2 as one of the enablers to do the battle management functions. And so our customer has been the organization has to do in battle management in the BFT2 development program. So that's basically the view that we have. Clearly everybody knows Comtech would like to just have that go away. So that's, that mean I think that's what, that sort of a what their inconsistencies are in the news.
Chris Quilty: So let the bureaucracy fight it out.
Mark Dankberg: I think there is a benefit in the new system too because there is a lot of bandwidth. Yeah, there are I’d say, it’s a big complex program I think Comtech is a very confident and capable company. They've got a different program and they are going to do their absolute best to perpetuate. So that's what you would expect them to do. But there was a competition for BFT2 and we won. So that counts for something and so far we have been performing and there has been a plan to integrate it in. So, obviously, we do not want to just feel right because we won the program, everything will automatically unfold in our benefit. I think people should give us some credit for being fairly savvy ourselves about the procurement environment. And that is probably be best not to go in to pretty much detail all the competition nuances. But the way I described the top level is pretty much that's the case.
Chris Quilty: Okay they did not submit for that bid in that contract did they?
Mark Dankberg: For BFT2?
Chris Quilty: Yeah.
Mark Dankberg: There were other bidders I am not sure I actually I am not sure if they did or not. I do not know why they would not have. But they may not have. I know there were other bidders.
Chris Quilty: Okay. Question on MIDS J program reading the headlines with the change in administration some of the key programs that they constantly talk about getting cancelled FC Future Combat System the F22 and jitters shows up on that list. First of all, maybe your point of view on whether that can should or will happened and if so how that might impact the funding and future deployment of the MIDS J solution?
Mark Dankberg: So on jitters you have to sort of separate between jitters the program and jitters the operational need. So they are definitely high profile, very big budget jitters programs that are --
Chris Quilty: You forget to insert poorly performing.
Mark Dankberg: So you did that. Of course there is these programs either they are well overrun. There is issues with the programs but they are clearly function on operational needs among platforms and users, whether FCS happens or some of these other integration programs happens where specific platforms need new radios. And you can think of jitters at a higher level is being the way they develop those radios. So, if those radios are not available or are not uncompleted, there will be some other radio that going there. So you can see there are Harris is a good example Harris has been very successful through Falcon program. They could see that as an alternative to jitters radios in certain applications. And there are other companies that have similar aspirations to different degrees. For us what we would do is look at those radios that require stabling capabilities similar to link 60 and there are other links that are similarly complex where we think would be uniquely positioned. And that's the environment that we are looking at. And in some sense you could almost say that cancellation of a particular jitters program might actually benefit us in that case not hurt us.
Chris Quilty: Are they well performing program?
Mark Dankberg: Yeah I mean well basically, and also as a potential source of those complex radios for specific platforms. Now personally what I think is that when you look at the total jitters program the GMR program, the AMF program there is really two aspects to them. One is the integration, the systems integration role that's especially through on these big air borne and maritime platforms. That those programs would probably still have a need and purpose in life, if all they were doing was integrating radios that came from other sources. And those integration problems are probably less over run and extended than the actual product development aspects of those programs. So and there is no guarantee that that’s the environment that we feel created a good opportunity for us. And it is not just speculating on the sidelines. I mean we are involved with a lot of these platform programs all the time and you can sort of see the ebb and flow of their availability of radios from these other programs.
Chris Quilty: Okay. And final item I maybe splitting Harris here in the context of lots of my companies lowering guidance by 25% or what not but you said you were maintaining guidance but if I look at your last presentation it looks like the top-end of the GAAP EPS came down $0.07 and top-end of the revenue range down by about $30 million. Is that fair or was there some sort of pro-forma adjustment I missed between the quarters?
Mark Dankberg: No, we used the same guidance chart as we used last time, so
Chris Quilty: Somebody monkeyed with it before they put it up there because; I’m looking at the two of them right now next to each other and your old slide said here that the GAAP EPS was in a range of, sorry I just closed that. Your GAAP EPS was 1.19 to 1.29, your new slide says 1.17 to 1.22?
Ron Wangerin: That's the GAAP numbers mostly you are reflecting an update into this, of amortization of intangibles and some of the.
Chris Quilty: But that was $0.02.
Ron Wangerin: Yes.
Chris Quilty: And this is a $0.07 differential. In old slides said revenues.
Ron Wangerin: On the top end.
Mark Dankberg: On the top end.
Ron Wangerin: Right.
Chris Quilty: So the top end came down a little bit and the top end of the revenue range was 6.30 to 6.70 and it's now 6.30 to 6.40.
Mark Dankberg: Yes, I know what happened. I think we left this whole chart and I think the last time when we talked about this we go back to conference call script we guided toward the lower end of that range.
Chris Quilty: Okay.
Mark Dankberg: So, I don’t think --
Ron Wangerin: So we thought it was appropriate in narrowing the range from putting up a chart this time.
Mark Dankberg: Okay. I guess thanks for point. If you look at sort of what was out there people's expectation I think we are right in the range.
Chris Quilty: I agree relative to consensus you are looking at.
Ron Wangerin: Well, I think that's what we said.
Chris Quilty: Sorry to split hairs.
Keven Lippert: That's okay. Thanks for the question.
Operator: We will have our next question from Mike Crawford with B Riley and Company.
Mike Crawford: Thanks. Just a couple of points of clarification, so first you say that some R&D shifted from internal to customer funded development. Was that shift unexpected and what are you thinking about this going forward?
Ron Wangerin: It was not unexpected, it was the artifact of how the nature and timing of orders that we got. So that’s why just trying to describe why R&D is what it is year-over-year.
Mike Crawford: Okay. And going forward what do you expect the unfunded R&D to remain at similar levels or is that just going to bounce around?
Mark Dankberg: I would say for the fiscal fourth quarter, it will be similar to what it was this past quarter and next fiscal year we are forecasting some modest growth year-over-year, but consistent what we normally do we look at our backlog of funded development programs or bounce that with some of our current opportunities are for company funded development and we make those trade offs accordingly.
Mike Crawford: Okay.
Ron Wangerin: It depends on what programs we ran, what development programs we ran. And then ultimately what are overall margin looks like whether we can spend and whether we have the opportunities to spend the R&D.
Mike Crawford: Alright and then just to be clear on some of the CapEx, you so far capitalized 85 million on ViaSat-1 you expect to capitalize another 30 million in Q4 and 100 million next year is that correct?
Mark Dankberg: I would say it’s little bit less than 100 million next year.
Mike Crawford: And now I believe another what 80 million or so before launch an operation.
Mark Dankberg: I think what we talked about is in the range of $400 million at launch and that depended on that was for the satellite launch, insurance as well as a rollout of some of the gateways and we would have an opportunity, we would be negotiating good contracts on the satellite and on launch vehicle in terms of flexibility should we need to make any modifications. And we control the timing and rollout of the gateway sides. So, we would have an opportunity to adjust those schedules as well.
Mike Crawford: Okay. But right now it's looking more like towards the end of 2011.
Mark Dankberg: The launches, yes its fiscal 2011.
Ron Wangerin: Yeah, towards the end of fiscal 2011. First half of calendar 2011.
Mike Crawford: Okay. And so that ViaSat-1 CapEx, And what about the overall CapEx?
Mark Dankberg: Last couple of years we have been running in the $20-ish million range for normal CapEx, and that’s been robust in facility expansion and build out a lab to support that and we see that amount coming down several million or maybe $5 million to $ 7 million next year
Mike Crawford: Okay. So, what was the total CapEx in the quarter?
Mark Dankberg: This past quarter?
Mike Crawford: Yes.
Mark Dankberg: It was about $34 million.
Ron Wangerin: Its bringing on my nerves.
Mark Dankberg: It’s almost $35 million from satellite and another $5 million for property and equipment.
Mike Crawford: Okay. About $40 million. Okay, great. Thank you.
Mark Dankberg: Good-bye. Thank you.
Operator: Michael French, Morgan Joseph.
Michael French: Good afternoon, gentlemen.
Mark Dankberg: Hi Michael.
Michael French: Let me start with quick housekeeping question. Can I get the depreciation and amortization for the quarter?
Ron Wangerin: Yes, depreciation and amortization, just give me a second. If you want to ask the other question in the meantime I will answer that.
Michael French: Yes sir. If we go back where you were talking about on the CapEx side, I assume the area on [fiber optics] that’s going to cost us somewhere just north of $100 million, and you mentioned that you have some flexibility in the schedule. Just wanted to know what is the base line schedule looks like, will you be making payments on there in 2010 fiscal year or is it really back-end loaded?
Mark Dankberg: Yes, we had an initial down payment that we made when we signed the contract, then we go several quarters without payments and then there are the similar amount as our down payments over in the latter half of fiscal ‘10 and then the increase in fiscal ‘11.
Michael French: And then the balances was paid at launch.
Mark Dankberg: Yes, that goes into launch.
Michael French: Okay.
Mark Dankberg: On your CapEx, I am sorry your depreciation and amortization total for the quarter was about $7.3 million.
Michael French: Okay. And on that the large commercial VSAT network that was announced in the quarter, I know you can provide a lot of details. But can you give us some sense of when we could expect to see revenues showing up on that and what the ramp would look like through that program.
Mark Dankberg: Its this quarter, that would be, it will be this quarter and I mean its fixed quarter conference kind of that a year-and-a half kind of timeframe spread out?
Michael French: Evenly spread out.
Mark Dankberg: It’s lighter in the first two quarters because there is a lot of fair amount of development.
Ron Wangerin: I just think we can’t give you too much guidance on that right now and if it happens we will talk about it.
Michael French: Okay. And can you give us any sense of the region that it seems?
Mark Dankberg: No.
Michael French: Okay, fair enough. And just a quick on the government side, you mentioned a few contracts or programs that have opened their way through particularly [MIDS JTRS] early production in the summer, but is there anything coming up for the March quarter that you are expecting decisions. And I am just trying comparing the bookings of last year, you had $167 million in this segment, you are likely to get approximately we can see bookings over $100 million again here or is it just not the case that many programs in the decision phase at this time?
Ron Wangerin: A lot really depends on the specific timing of the orders. One of the big swingers for us is always the annual MIDS LBT production line and it’s possible that will be in the March quarter.
Mark Dankberg: Also on the government side year-to-date our awards are almost $350 million year-to-date. If they really have the awards in Q1 and Q2.
Ron Wangerin: It’s just hard to predict the timing and we don’t like to, we pay more attention to is, does the program happen, does somebody else get it, does it go away those kinds of things.
Michael French: And then my last kind of small one. Ron, you mentioned that SG&A dropped year-over-year but it came down slightly sequentially it was second quarter kind of a peak for SG&A or as we look at this $23 million sort of.
Ron Wangerin: Yeah. I mean it was a peak, I mean there are some of the items related to our for instance some legal or support cost for ViaSat-1 can be lumpy dependant on what activities we have going on. The other thing was is that, our selling costs were really high in the second quarter because of our really, really high awards that took place. So there can some ebbs and flows on higher selling cost relative to our awards.
Michael French: That 1,257 for the second quarter? Okay, great. Thank you gentlemen and good luck.
Ron Wangerin: Yes. Thank you.
Operator: We will have our next question from Jim Mcilree with Collins Stewart.
Jim Mcilree: Yeah, thanks. In order to hit the $630 million for fiscal '09 you need about a $20 million increase in the March revenues over December, what would be the primary driver or drivers for that increase?
Ron Wangerin: I would say it’s balanced between government and commercial. Yeah without going into a lot of specifics, we see growth in our information assurance our governments' Satcom arena as well as our unmanned aerial vehicles, and our satellite products area and those would be the primary areas.
Jim Mcilree: But it's not, any one major project like this enterprise VSAT project you have mentioned or a midst order or something like that it’s a balance quarter-to-quarter growth.
Ron Wangerin: Yes.
Jim Mcilree: Okay. Great, and would you expect there to be another midst lot order after what we are we on now after lot 11?
Ron Wangerin: Yes. It's going to be tough. So what they have done is they have reached the end of their legal extension of the current contract face or they are currently in the end of our new contract or so whether there will be Lot 11, Lot 1 under the new contract whether it will be, but there will be multiple additional lots. One other things that they will continue to buy ongoing production launch for the US, but SMS version has dominated the future production Lot. And also there are technology enhancements that are intended for the existing MIDS LVT units.
Jim Mcilree: Yeah.
Ron Wangerin: So that will include, both new development for that and that’s certainly part of our outlook going ahead is those new technology instructions. One example, we have talked about is an update to the security aspects of the existing LVT so that’s been area we participate in for sure and then there will be certainly be ongoing instructions of that new developed technology into existing LVT base. So, it's not like the LVT program goes away, that’s sort of why we described it sort of lowering MIDS on top of kind of requesting LVT.
Jim Mcilree: Okay. So that makes a lot sense, and around numbers what's the install base of MIDS LVT terminal that you have delivered?
Keven Lippert: Couple of thousand, 1,500. Install base I should note.
Ron Wangerin: It's probably in that 1,500 range. We can get you more details.
Keven Lippert: We will post in our website, Jim.
Jim Mcilree: Okay. Great. Thanks a lot.
Keven Lippert: Thank you, Jim.
Operator: And we will have our final question from Rich Valera of Needham & Company.
Rich Valera: Thank you. Just a quick one, the cash flow from operations, are you still expecting $50 million for the year?
Ron Wangerin: Yes.
Rich Valera: And for fiscal 2010, should we think of similar number?
Ron Wangerin: No, Rich, we think it should be higher. We are expecting higher mix of product sales, both revenue growth and therefore we think it should be higher.
Rich Valera: Okay, very good. Thank you.
Ron Wangerin: There are just that point Rich, cash is harder to predict than revenue. It has a large payment slips from few days that can fall outside the quarter. So I just caution you on that, it could fluctuate those within a couple of weeks and you can essentially be the same numbers.
Keven Lippert: Right, for the macro trends as we have described.
Rich Valera: Okay, thank you.
Keven Lippert: Alright.
Ron Wangerin: Okay, so we appreciate all the questions, and that concludes our call for today. We look forward to speaking with you all again next quarter.
Operator: That does conclude today's conference. You may disconnect at this time. We do appreciate your participation.